Operator: Good day everyone and welcome to today’s Becton, Dickinson Q2 Fiscal Year 2023 Earnings Call. At the time, all participants are in a listen-only mode. [Operator Instructions] Please note, this call maybe recorded, and that I will be standing by should you need any assistance. It is now my pleasure to turn today’s program over to Francesca DeMartino. Ma’am please begin.
Francesca DeMartino: Good morning, and welcome to BD's earnings call. I'm Francesca DeMartino, Senior Vice President and Head of Investor Relations. On behalf of the BD team, thank you for joining us. This call is being made available via audio webcast at bd.com. Earlier this morning, BD released its results for the second quarter of fiscal 2023. We also posted an earnings presentation that provides additional details on our business, strategy, and performance. The press release and presentation can be accessed on the IR website at investors.bd.com. Leading today's call are Tom Polen, BD's Chairman, Chief Executive Officer, and President; and Chris DelOrefice, Executive Vice President and Chief Financial Officer. Tom will provide highlights of our performance and the continued execution of our BD 2025 Strategy. Chris will then provide additional details on our Q2 financial performance and our updated guidance for fiscal 2023. Following the prepared remarks, Tom and Chris will be joined for Q&A by our segment Presidents, Mike Garrison, President of the Medical segment; Dave Hickey, President of the Life Sciences segment; and Rick Byrd, President of the Interventional segment. Before we get started, I want to remind you that we will be making forward-looking statements. I encourage you to read the disclaimer in our earnings release and the disclosures in our SEC filings, which are both available on the IR website. Unless otherwise specified, all comparisons will be on a year-over-year basis versus the relevant period. Revenue percentage changes are on an FX-neutral basis unless otherwise noted. When we refer to any given period, we are referring to the fiscal period unless we specifically note it as a calendar period. I will also call your attention to the basis of presentation slide, which defines terms such as base revenues and the non-GAAP reconciliations included in the appendix. With that, I am very pleased to turn it over to Tom.
Tom Polen: Thanks, Francesca. Good morning, everyone. And thank you for joining us. Earlier today, we reported another consecutive quarter of strong financial performance and significant progress advancing our innovation pipeline. The results we have been delivering for multiple periods reflect our strategy in action. We are now about halfway through our BD 2025 plan to accelerate growth and simplify and empower our company, and I'd like to share how our team's strong execution of our strategy is driving our performance and will enable continued momentum through 2025 and beyond. We have made purposeful and strategic investments, which we're seeing contribute to consistent, higher growth, and strong financial performance. We have been and remain very intentional with how we are deploying our capital towards higher growth spaces and are pleased with the significant progress we continue to make increasing our WAMGR. These actions have evolved BD into an agile, innovative, and durable medical technology company with a compelling growth profile. Our innovation mindset is driving higher product development velocity and super cycles of innovation in many of our businesses. Through a focus on the most impactful programs, improved milestone achievement and launch excellence. To highlight a few examples of our strategy and investments, and how they're fueling strong results and momentum. First in Pharm Systems, due to the start of our BD 2025 journey, we made a bold decision to invest $1.2 billion in additional capacity. Today, we're seeing this capacity investment along with several new innovations we've brought to market, paying off as we are ideally positioned to enable delivery of the large wave of biotech drugs coming to market. We've built Pharm Systems into a $2 billion growth platform with 11 consecutive quarters of double-digit growth. With over 70% of the top 100 biopharma companies using BD's portfolio and 6x the capacity of the nearest competitor we are well-positioned to continue delivering strong growth. Second, during COVID, we also made several strategic reinvestments of certain COVID-only testing proceeds, particularly in our BDB business, which is one of the areas with a super cycle of new breakthrough innovations coming to market over this and the next several years. We've already begun to see acceleration from some of the early new launches notably in biopharma for cell therapy and immune oncology research. Looking forward to the upcoming launch of our FACSDiscover S8 Cell Sorter. That was previously featured on the cover of the journal Science. The S8 combines advanced spectral flow cytometry with novel CellView Image Technology. By combining the power of high parameter spectral flow cytometry with an unprecedented picture of a cell and its inner workings. We are defining a new standard in flow cytometry, which will empower scientists to unlock life changing discoveries across fields like immunology, cancer research, and cell biology. We recently shipped our first early access BD FACSDiscover S8 and we remain on track for launch later this quarter. We've also already begun launching a new family of [spectrally] [ph] optimized BD Horizon reagents that together with the FACSDiscover S8 will create a unique spectral solution inclusive of instruments, dyes, and informatics that only BD can offer. Third, as you know, we have been very purposeful in increasing tuck-in M&A to drive scale within high growth adjacent markets. And have built strong M&A capabilities to successfully integrate assets. Our most recent acquisition of Parata’s Pharmacy Automation Solutions continues to exceed our expectations and we're already seeing an early impact from revenue synergies. The Parata acquisition expanded our offering to establish BD as a leader in pharmacy automation and created a new growth platform with revenues in excess of $0.5 billion growing double-digits. This is an attractive growing market that uses automation to address a number of the critical issues faced by our customers, such as wage inflation, labor attrition, pharmacist burn-out, and the need to reallocate pharmacist's valuable time to clinical care.  Parata is just one example of the successful tuck-in acquisitions we've made over the last several years. These acquisitions are currently contributing about 30 basis points to our organic growth rate this year. And once Parata annualizes, we expect that contribution will increase to about 50 basis points. Lastly, we continue to build on our strong competency of serially innovating on and expanding the application of new technologies we develop or acquire. This is exemplified in our urology and critical care business, where our acquisition of PureWick continues to provide significant benefits to patients, and is also an impactful growth driver for UCC. We've already launched the home version of PureWick Female, which continues to be very well received and is aligned with our focus on providing solutions and new care settings. And at the end of FY 2022, we launched PureWick Male, the newest product in our planned portfolio expansion for managing incontinence. PureWick Male provides nurses with a non-invasive option for urine management in men, enabling earlier catheter removal and reduced risk of infection. We are receiving exceptional customer feedback and the adoption of PureWick Male is exceeding our expectations. We have multiple additional R&D programs in the pipeline, to continue to expand our solutions in and incontinence. These are just some of the examples of key investment decisions we have executed to strengthen our business, contributing to our performance today and over the long-term. Turning to our quarterly financial results. We are seeing the strength of our BD 2025 strategy in action across all businesses and geographies in our Q2 performance. We delivered another quarter of outstanding results that exceeded our expectations with 8.7% base revenue growth and double-digit currency neutral earnings growth. But we are excited by what we have achieved to date. We have much more to look forward to. Let me provide a few examples of how we progressed our pipeline this quarter. Starting with our recent launches, in our BD Medical segment, we launched our PowerMe midline catheter in China. And by the beginning of March, it was being used in the first patient. PowerMe was designed by our R&D center in China for China and we're excited about the opportunity it creates to develop a new category of vascular access in China. In our Life Sciences segment, we're really excited about how the BD core platform is expanding us into the high throughput, high growth molecular diagnostics market. In Q2, we received 510(k) clearance for our new Vaginal Panel on BD COR. The world's first microbiome based PCR assay that uses a single swab and test to simultaneously detect the three most common causes of vaginitis infections, enabling targeted cost effective treatment. And in our BDI segment, we launched our Highlander 014 PTA Balloon in Q2. Highlander is the first and only non-compliant fiber based balloon designed to treat peripheral artery disease and below the knee anatomy. We are proud to be leading in this space, building on our history of continuous innovation in the higher growth PVD market. We've also hit several crucial milestones this quarter. These include regulatory submissions of the PIVO Pro and BD Nexiva with NearPort IV Access, which are core elements of our One Stick Hospital Stay and Vascular Access Management strategy in our MDS business. In our biosciences business, we completed the early access program for our BD Rhapsody HT Xpress. And in fact, I'm pleased to report that just in the last few days we announced the launch. The HT Xpress is a single cell analysis system that increases the throughput of the BD Rhapsody platform eightfold, while maintaining compatibility with our existing single cell assays and reagents. This new instrument enabled access to the fast growing translational single-cell multiomics market with a high throughput research solution. And in our surgery business, we completed testing for our Phasix ST Umbilical product to support a 510(k) submission later this fiscal year. Phasix ST Umbilical is designed to provide patients reliable, alternative to permanent mesh, bringing the benefits of the category leading bio resorbable Phasix material into one of the most common abdominal wall hernia procedures. Phasix ST Umbilical will be the first fully reservable product customized for open umbilical repairs, which represents the majority of umbilical procedures. This is another example of a technology reacquired and are now expanding and accelerating the growth of. These launches and milestones are good examples of how we are strengthening our position in attractive end markets across our portfolio. While we advance our growth strategy, we also remain focused on our number 1 priority to bring the Alaris pump back to market. We are confident in the resources invested in our submission, the team and leadership task to prioritize this, and that we will get clearance. As we have stated in the past the relaunch of Alaris is included in the BD 2025 strategic plan. And while we cannot predict clearance timelines, we can ensure that we are prepared for the relaunch with the proper operational capacity and functional capabilities so that we can provide our customers with the best experience. As a reminder, we've launched an updated Alaris pump in several international markets and continue to receive very positive feedback from customers. In Q2, we continue to simplify our company with programs across our manufacturing network, our portfolio, and our operating model. We made further progress on our recode portfolio simplification program, which reduces SKUs in order to improve customer service and focus on the most important products needed to deliver care. We remain on track to remove 20% of our total portfolio by 2025, having achieved more than half of these SKU reductions thus far. In addition, we have numerous initiatives underway to consolidate our manufacturing footprint, improve cost and service, while delivering on our ESG goals to address climate change and carbon neutrality. Earlier this year, we expanded our recode initiatives to include our operating model to drive efficiency and effectiveness and simplify our organization to improve Agility. These actions resulted in us reducing our overall headcount by about 2% this year. We also recently made the strategic decision to partner with a leading business process and professional services firm and are transitioning certain BD shared service center business processes. They will be working to optimize our back office processes and services using automation, data, and process excellence that they have implemented very successfully with other large companies. Collectively, our simplification programs are a core part of our strategy to drive efficiency and enable impactful growth. To share some perspective on the macro environment, overall, the environment continues to stabilize and is in-line with our view that challenges will persist not escalate. While we're seeing signs of inflation cooling off, it is still more than twice the historical average. We see continued labor pressure with different market dynamics impacting hiring and increasing wages for certain roles, particularly in our supply chain organization. Across raw materials, some categories such as resins used and finished goods are beginning to show signs of stabilization. But overall, they have not come down universally and remain well above prior cost levels. In terms of supply availability, we have seen significant improvements across materials, supplies and labor, which are driving our back order reduction leading us to recover towards pre-pandemic supply levels. Broadly speaking, we are seeing stabilization and continued overall procedure volume recovery and volume momentum. Specific to China, we delivered strong performance despite some impact from increased COVID cases in the region and reduced hospital capacity that carried into Q2. We experienced a strong recovery in March and remain well-positioned for continued growth in China. Our strategy has proven to enable strong results in some of the most challenging times. And by successfully navigating the macro environment, we are distinguishing BD and remain well positioned to deliver continued strong performance. Before I turn it over to Chris, I'll provide an update on the progress our team is making to advance our ESG strategy and goals. We continue to be proud of our leading focus on reducing the environmental impact of our product portfolio and we recently announced the launch of our new circular economy pilots in several regions, but we are partnering with healthcare facilities and waste management companies to recycle used materials, including BD syringes in the U.S. and BD vacutainers in Denmark. In addition to launching our 2022 cybersecurity annual report in early Q2, we also established the BD Cybersecurity Risk Committee, which serves as the management level governance body for oversight of all Cybersecurity risk across the company. The committee is chaired by the Chief Risk Officer, and its members include cybersecurity leaders across enterprise, manufacturing, and product cybersecurity, as well as key functional leaders. We are also proud to receive continued recognition for our ongoing commitment to talent and culture. Most recently, we renamed the noteworthy company for the fourth straight year in Diversity Inc.’s annual ranking of the top U.S. companies for diversity. We look forward to providing further updates on the commitments, disclosures, and progress on the four pillars of our ESG strategy. Company health, planet health, community health, and human health as we publish our 15th annual ESG report later this year. In summary, I'm proud of our progress and the positive impact our associates are delivering for our customers and patients around the world. Our purposeful and strategic investments in attractive end markets are driving higher growth and creating value. Our innovation mindset is improving our pipeline execution and launch excellence and creating the most exciting product pipeline in the company's history. Our simplification efforts are reducing complexity and driving business process excellence and agility. Our increased guidance for fiscal 2023 reflects our strategy and action, strong execution by our team and a strengthened growth profile. We will continue to increase investments to support profitable growth through 2025 and beyond. With that, let me turn it over to Chris to review our financials, guidance, and outlook.
Chris DelOrefice: Thanks, Tom. Echoing Tom's comments our BD 2025 strategy is driving consistent performance and demonstrates our strong growth profile. With our year to date performance, we are well on track to achieve our FY 2025 long-term targets. Beginning with some color on our revenue performance, we delivered strong Q2 base revenue growth of 8.7% or 7% organic. This includes growing over prior year flu COVID combination sales, which negatively impact growth by over 200 basis points and an impact from one-time strategic portfolio exits of about 50 basis points. Adjusting for these impacts, organic volume growth was in the strong mid-single digits at nearly 6%. In addition to the inorganic revenue contribution from M&A, we continue to drive organic growth from acquisitions that have anniversaried, which was about 30 basis points in the quarter. COVID-only testing revenues were $16 million in the quarter, which as expected declined from 214 million last year. Total company base business growth was strong across BD Medical, and BD Interventional with growth of 12.2% and 9.3% respectively. Base revenue growth in BD Life Sciences of 2.2% includes a negative impact of about 800 basis points, due to the comparison to higher combination flu COVID testing sales last year attributable to the Omicron wave, coupled with the timing of this year's respiratory season that peaked earlier than normal during fiscal Q1 and then declined. Base revenue growth was strong across all regions with high-single-digit growth in the U.S. and double-digit growth internationally, including 9% growth in China. For the full-year, we expect to deliver high-single-digit growth in China. Our growth continues to reflect consistent performance of our durable core portfolio and our shift into attractive and higher growth end markets. Strong performance in our Medical segment reflects execution of our growth strategies across our key end markets. This includes our durable core where we continue to drive growth in vascular access management with our BD Posiflush and Catheter Solutions. In Medication Management Solutions, our investments in high growth areas like pharmacy automation are driving strong growth led by our Parata acquisition and BD ROWA. In our Dispensing platform, continuous innovations in BD Pyxis, including the recent launch of BD Pyxis ES 1.7 and the BD HealthSight portfolio drove double-digit growth. And in Pharm Systems in the higher growth pharma and biotech drug delivery end market our capacity investments and newer innovations in products such as BD Effivax, BD Hylok, and BD Neopak are driving continued double-digit growth. Strong underlying performance in our Life Sciences segment reflects growth in our durable core in specimen management and execution of our growth strategies across our key end markets, including single cell analysis, microbiology, and molecular diagnostics. In our IDS business, growth in microbiology reflects demand for our BD Kiestra lab automation solution, including adoption of the recently launched IdentifA and Total Modular Track solutions. Double-digit growth in Molecular IVD assays reflects continued leverage of our large install base. In Biosciences, high teens growth was driven by new innovations, in BD Horizon dyes, and our expanded antibody portfolio that drove double-digit growth in research reagents and continued strong demand for our BD FACSymphony, flow cytometry analyzers. Strong performance in our Interventional segment reflects execution of our growth strategies across our key end markets, including advanced repair and reconstruction, PBD, oncology, and incontinence. Our newer innovations in higher growth areas are all contributing nicely to growth. Our surgery business unit delivered strong double-digit growth with continued market adoption of Phasix hernia resorbable scaffold, driving double-digit growth in advanced repair and reconstruction, and double-digit growth in biosurgery that was aided by Arista. In our PI business unit, the relaunch of Venovo and global penetration of Rotarex are driving high single-digit growth. In our UCC business unit, high-single-digit growth continues to be driven by strong double-digit growth of the PureWick franchise that was aided by the recent launch of PureWick Male. Across BDI, procedure volumes were also strong in the quarter contributing to growth, particularly in our surgery business unit. Further details regarding each segment's performance in the quarter can be found in today's earnings announcement and presentation.  Now, moving to our P&L. We reported Q2 adjusted diluted EPS of $2.86, which included gross margin of 54.2%, it was slightly ahead of our expectations and operating margin of 22.7% that was in-line with expectations. Our margin performance reflects leveraging our strong revenue growth, the benefit of our simplification and inflation mitigation initiatives, and strategic portfolio exits that enabled our ability to more than overcome nearly 200 basis points of outsized inflation, which was in-line with our expectations. Gross margin also reflects negative FX, which was slightly higher than anticipated. SSG&A expense increased 5% year-over-year. Half of the SSG&A increase was driven by the unfavorable impact of an employee benefit related item that gets recorded in G&A and is offset in other income with no resulting impact to EPS. Excluding the employee benefit-related item, we drove about 50 basis points of leverage in SSG&A with shipping growth in-line with revenues and good leverage in selling expense. As expected, our phasing of R&D continues to be weighted to the first half of the year with R&D as a percent of sales of 6.5% in Q2. Our R&D investments are aligned to our long-term growth strategy and have been a catalyst to increased velocity of product development. In summary, we continue to execute well and fully delivered our Q2 operating margin goal with operating improvement, excluding the employee benefit item nicely leveraged by 80 basis points, including absorbing a 30 basis point headwind from lower COVID-only testing. Our tax rate in Q2 was lower than anticipated, due to the timing of certain discrete items that were contemplated to occur during the year. Regarding our cash and capital allocation. Cash flows from operations totaled $584 million year-to-date. Operating cash flow reflects an elevated inventory balance that has enabled our strong performance and ability to meet peak demands and support our customers' needs while navigating the complexity of the macro environment. We remain focused on reducing our inventory balance and have several initiatives underway to do so. As a result, while we saw peak inventory levels during the quarter, we exited the quarter with positive progress towards reducing inventory. We expect inventory to continue to decline over the balance of the year with the most prominent reduction expected in Q4 to levels similar to the prior year. We're also driving more effective capital expenditures for the full-year and expect expenditures to be similar to the prior year. We ended the quarter with a cash balance of approximately $2 billion, which includes the proceeds from debt refinancing during the quarter that will be utilized to repay maturing debt over the balance of the year. We ended Q2 with a net leverage ratio of 3.1x. We expect to pay down our commercial paper over the balance of the year and move towards our net leverage target of 2.5x. As the year progresses and we build cash, we will increase our capacity to deploy cash towards tuck-in M&A. Moving to our guidance for fiscal 2023. For your convenience, the detailed assumptions underlying our guidance can also be found in our presentation. Given our quarter performance, we are confident in raising the midpoint of our revenue and adjusted EPS guidance ranges. The strength of our base revenue growth and consistent execution of our margin goals is enabling our ability to offset lower COVID-only testing revenues and the latest FX rates, while reinvesting in the business to drive future growth. Starting with revenues, I will provide some insights into some of our key guidance assumptions. First, we are well-positioned for strong growth across our three segments, which are delivering at or above our expectations, and thus, we are increasing our base revenue guidance. On a currency-neutral basis, we now expect base revenues to grow 6.5% to 7%. This is an increase of 50 basis points at the midpoint from our prior guidance of 5.75% to 6.75%, and is driven by our Q2 revenue outperformance and the confidence we have in our team's continued strong execution and our consistent growth profile. Following our strong FY 2022 growth of 9.4%, we again increased our revenue guidance in FY 2023, which at the midpoint brings our two-year average growth to about 8% or 7% organic, which is well above our 5.5% plus target. Increased base revenue guidance includes both higher organic and inorganic growth expectations for the full-year. We now expect inorganic revenue to contribute approximately 125 basis points of base revenue growth for the full-year, which is an increase of 25 basis points, driven by the strong execution of Parata. Organic based revenue growth is now expected to be 5.25% to 5.75%, an increase of 25 basis points at the midpoint. Both our base revenue and base organic revenue growth continue to include a reduction of approximately 100 basis points, resulting from our planned one-time strategic portfolio exits. While we aren't providing segment-specific guidance, we are on track to deliver strong performance across our segments this fiscal year, in-line with our long-term planned commitments. We expect Medical segment growth to be above the total company range, which includes the acquisition of Parata, Life Sciences growth to be below given strong prior year comparisons and Interventional to be above the total company range. For COVID-only testing, we are now assuming about $50 million in revenue versus our previous expectation of about $50 million to $100 million, driven by the reduced testing volumes as a result of the early peak and rapid decline of the respiratory season. All-in, we are increasing our reported revenue guidance by approximately $50 million at the midpoint to a range of $19.2 billion to $19.3 billion, compared to $19.1 billion to $19.3 billion previously. Regarding Alaris, we continue to only model shipments related to medical necessity in-line with fiscal 2022 demand. Regarding our assumptions on earnings, we continue to expect operating margins to improve by at least 100 basis points for the full-year. We are executing as planned and the actions required for the year to drive margin improvement remain unchanged. Our focus on driving profitable revenue growth, combined with the significant simplify actions in place, including the previously planned operating model programs that we recently announced, gives us the confidence that we will again deliver meaningful margin expansion this year, while absorbing about 200 basis points of outsized inflation and the incremental decline in COVID-only revenue, which has a higher margin profile. Below operating income, our assumptions regarding interest other remains unchanged, and we have narrowed our effective tax rate guidance to 13.25% to 14%. We expect adjusted EPS to be between $12.10 and $12.32, which represents an increase of $0.015 at the midpoint. This reflects a base business increase of $0.115 that is driving our ability to offset incremental headwinds of approximately $0.05 each from COVID-only testing and foreign currency. Our adjusted EPS guidance reflects currency-neutral growth that is around double digits and within a range of approximately 9.5% to 11%. This includes very strong mid-teens base business growth of approximately 14% to 15.5%, which is over 100 basis points higher than we previously anticipated and is driving our ability to absorb the decline in COVID-only testing. Our updated guidance reflects significant progress towards delivering the BD 2025 financial targets we laid out at our Investor Day, including: a strong two-year organic base revenue CAGR of about 7%, which is well above our 5.5% plus long-term target; at least 380 basis points or about 70% of our targeted 540 basis points of base operating margin expansion toward our targeted 25% margin levels in FY 2025; and a strong high-teens two-year base business EPS CAGR, which is also well above our double-digit long-term target. As we think of fiscal 2023 phasing, let me provide some comments for you to consider as you model out the balance of the year. We've outlined more detail in the accompanying presentation slides, but the following are key areas to note. First, regarding base revenues, the midpoint of our updated guidance continues to reflect strong organic growth of about 6% in the second half of the year. We expect organic growth to be fairly ratable over the quarters with some different prior year comparisons in each quarter. As a reminder, we will anniversary the inorganic contribution from the Parata and MedKeeper acquisitions in Q3, which means that Q4 base revenue will be all organic. Second, as you think about margins, as we have described throughout the year, most of the full-year improvement will come from SSG&A expense leverage with the balance from slight improvement in gross margin, which is muted because of outsized inflation in fiscal year 2023. We've seen that play out over the first two quarters where gross margin was slightly below the prior year margin in Q1 and slightly above in Q2. We expect a similar dynamic in Q3 where you should be slightly ahead of the prior year's 52.6%. For operating margin, our expectation is for Q3 year-over-year margin improvement, similar to our full-year operating margin expansion expectation and slight improvement sequentially from the 22.7% in Q2. R&D as a percent of revenue will moderate down towards our expected full-year average of about 6% in Q3, while Q4 will be the low at about 5% of sales. Lastly, the midpoint of our full-year effective tax rate guidance indicates an estimated tax rate of about 16.5% for the balance of the year, which is best to assume occurs evenly in Q3 and Q4 as the exact timing of any other discrete items is hard to predict. In closing, as we approach the halfway point, our BD 2025 strategy has consistently delivered multiple periods of strong financial performance. As we look forward and as reflected in our FY 2023 guidance and our progress towards our BD 2025 long-term targets, we are well positioned for continued growth. With that, let's start the Q&A session. Operator, can you assemble our queue, please?
Operator: Yes, sir. [Operator Instructions] Our first question will come from Robbie Marcus with JPMorgan. Your line is open.
Robbie Marcus: Oh, great. Good morning everyone and thanks for taking the questions. Maybe to start, I wanted to ask on guidance. This is the second quarter in a row where you guys have had a really good performance on the top line, beat, and raised guidance, But on the bottom line, we're seeing guidance go up again by a little less than the beat on the bottom line. So, maybe spend a minute and talk through some of the puts and takes and how you're thinking about managing the rest of the year in guidance to be able to offset any headwinds. And it'd also be great – it looks like FX isn't changing on the top line, but it's getting worse on the bottom line. So, maybe throw that in there as well.
Chris DelOrefice: Yes. Thanks, Robbie. It's Chris. Appreciate the question. I think this is pretty straightforward. So first, just look, another strong quarter and our second increase in guidance, to your point. On revenue, we increased from 6.5% to 7% or 50 basis points on our base. So, at the midpoint, that's 6.75%. And I think important to note, right, our two-year average growth now, 8% or even 7% when you strip out the benefit from tuck-in M&A, so on a pure organic basis. So, really strong, well above our 5.5% profile. As you think of the increase, basically the increase in revenue 100% matched the outperformance in Q2. The way to think of that, if you recall last quarter, we communicated that our second half growth rate would be 6.6. That stayed intact. So, we're holding it to 6.6. Importantly, as you think of the first half to the second half, actually, the organic revenue growth accelerates from 5 to 6, and again, nicely above our 5.5% plus. So, really strong revenue story following a strong FY 2022. On earnings, where I think the core of your question is, so, one, building on the strong growth. We continue to execute against our margin goals. Hopefully, that hasn't gotten lost in this macro environment where you're seeing many in multiple industries with margins declining. So, we're committed to the 100 basis points of margin improvement. We had slight improvement in the quarter. So that holds intact. So basically, the way to think of the raise, you have to, kind of break it down and really understand the base business. So, on the base business, as we noted in the presentation, we raised by [$0.115] [ph]. It exactly equals, kind of margin drop-through on the 90 million increase on our base revenue. And then you noticed we slightly modified our – the midpoint of our tax guide. So, the revenue accounts for about 60% of it, the tax accounts for the best. I think also important to note, we're not getting any year-over-year benefit on tax. It's actually still a year-over-year headwind that's absorbed in our full-year guidance. So, I think it reflects really strong base performance. And I think another important reminder – so anyway, that $0.115, it basically absorbs two factors. You noticed that we moderated down the COVID-only testing by about $25 million. That has a strong drop-through in the margin because there's very little commercial investment. It has a higher GP, as we've shared in the past. So, we more than absorbed that. And then we did absorb some FX pressure on EPS, which was pretty modest. That was $0.05 in lieu of actually dropping for FX like we normally do and adjusting our guide range. It was $0.05. We absorbed that on the strong base performance. FX, there was a little bit – if you remember in the quarter, the dollar strengthened significantly and the euro recovered. So, you actually have to look at the average in the quarter. So, there was a little bit in the quarter with the euro. You also had the yuan and the yen were the other two currencies. So, just modest impacts there. Net-net, it's a raise by [$0.015] [ph] at the midpoint. And then I think the most important thing for everyone to keep in mind, when you just look at our base EPS growth year-over-year, knowing that we're absorbing significant year-over-year declines in COVID-only testing, our actual EPS growth on the base business is nearly 15%, well above our double-digit EPS. So, we feel really good about where we sit, the halfway through the year. We haven't changed any of our, kind of core commitments around margin. With that said, we want to make sure we solidify the future. We want to keep investing. We continue to invest in R&D at higher levels. And this isn't about one quarter, one year. We think this is – what you're seeing here is a great growth story play out that will happen over multiple periods and will be durable.
Robbie Marcus: Really helpful. Maybe just a quick follow-up. I could probably anticipate your answer here, but given the focus, any updates on Alaris or upcoming data points or catalysts we can be looking out for on the pathway to approval?
Tom Polen: Hey, Robbie, good morning. This is Tom. Obviously, as we've discussed many times, getting Alaris back on the market is our number 1 priority. And we are confident in the resources that we have invested in our submission and the team and leadership tasked to prioritize this. As you expected and as we've said before, we're confident in our process and that we will get clearance, and we have been and want to remain prudent and thoughtful about the process with the FDA. And so therefore, we continue to not try to predict exact time lines just given how inherently complex these submissions are. So, obviously, once we get clearance, we'll immediately communicate at that point, and that has been and remains our strategy there. But we're fully focused on making sure that our number 1 job is making sure that the FDA has all the information they require to clear the product. Thanks for the question.
Operator: Thank you. Our next question will come from Larry Biegelsen with Wells Fargo. Your line is open.
Larry Biegelsen: Good morning. Thanks for taking the question. Tom, I think two for you. One, I just wanted to start at a high level, and congrats on a nice quarter here. The super cycle of new products you talked about, how are you feeling about your target of 5.5% organic growth beyond 2023? Chris mentioned a few times that the two-year CAGR for organic growth is 7% this year. So, could that 5.5% be higher beyond this year? And I had one follow-up.
Tom Polen: Okay. Good morning, Larry and thanks for the great question. Great to connect as always. We're extremely excited about the pipeline that we have and our outlook going forward. We're not looking to adjust our long-term commitment at this time, but we are feeling very positive about the momentum that we have as you described. I think as we look at where we are today, what stands out, and hopefully it became clear in our discussions this morning, are the number of high-growth platforms that we've built and that we've continued to systematically progress across the company. And we talked about a few of those. Whether or not it's Pharm Systems, which is now the 11th quarter in a row of double-digit growth, and the macro environment of now biologics being – more biologics being in pharma's pipeline and small molecules today, first time in history, and some big blockbuster products coming down the pipe. And we are well-positioned as the leader in injectable drug delivery to benefit from that trend with the significant capacity we've added, as well as the innovation pipeline we have, both for professional delivery, but also enabling wearables and self-injection products that we've been investing in are coming to market now as well. Pharmacy automation, right now, a $500 million-plus platform growing in the teens. Huge trends that are going to continue to fuel that going forward, labor shortages, the need for pharmacists to move more front of the – front-off to be serving patients doing wellness checks, et cetera, we're going to continue to see strong demand for pharmacy automation, and we're really pleased with that platform that we've built. B2B, huge super cycle of innovation there. The FACSDiscover, we've started shipping to the early adopter sites and really a tremendous opportunity to help bring new insights and new discoveries in the areas of cell therapy and immuno-oncology and just understanding the immune system overall. When you think about who is getting Nobel Prizes in those fields that I just described, almost all of them were using flow cytometry. And I'm convinced you're going to see a whole new set of discoveries being uncovered with the new technologies that we're rolling out there right now. Really excited. And of course, that's complemented not only on the capital side with FACSDiscover. And the product we're launching now is just the first in a whole family that we're going to be continuing to roll-out. We're rolling out the high-end sorter first, but we're going to be offering mid-and-lower-end sorters or cell analyzers, utilizing that same technology over the next several years. That's complemented by our new die portfolio and expanding antibody portfolio, as well as informatics technologies that we have launched and will continue to launch. BD Interventional, you heard us talk about a number of great growth platforms that have been developed there, and we're seeing good strong growth out of the BDI segment. This was another strong quarter there. And you're seeing a number of the acquisitions that we've done over the last few years or had done just before BD and Bard came together, things like PureWick and the [indiscernible] innovation that's happening there, TIFA, which we acquired over the last few years and how we're expanding that into new applications, we gave an example of umbilical hernia. Straub Medical and how that's being expanded globally. And you're seeing the benefits of that in the PI business. We're really pleased with the growth momentum that's happening there. And of course, medication delivery, a continuing strong growth in our portfolio there from catheters to picks and eventually through our planning horizon and our aim to get Alaris back on market. So, we're really pleased with the momentum. We're really pleased with the launches we've done to date. We've had about 10 key launches so far this fiscal year that's coming off of 25 key launches last year. And we continue to be on track for about that same number again this year and pretty much every year as we look forward. Thanks for the question.
Larry Biegelsen: That's super helpful. Just one quick follow-up on Robbie's question on Alaris. It's great to hear the confidence you expressed today. My question is, are you confident you can get it within the – I know you're not talking about specifics, but within the BD 2025 plan? And I know you have 80 basis points of margin improvement in the – for Alaris in the BD 2025 plan. If you don't have it within that time line, can you – do you have other ways to offset the margin leverage you're expecting from it? Thank you.
Chris DelOrefice: Yes. Thanks, Larry. I'll take that one. Yes, to your point, if you recall, given that we made the decision to maintain investment in service, field support, et cetera, there was about that 80 basis point headwind to our margin as part of Alaris. We've been very clear, while we haven't been – said we weren't going to predict timing, we did say as part of our FY 2025 plan. The good thing about margin, and just if you step back again, we delivered 50% of our goal, right, through FY 2022. We're on-track this year. That would put us 70% towards our goal. We have multiple levers to deliver both. In essence, the way we think of it is how do we get to double-digit EPS growth on a consistent basis. We're not dependent on one variable. And given 70% of the way there, we feel really good between the strong growth profile that we expect to continue and natural leverage you get. The Recode initiatives we put in place, that will continue to accelerate through the back half of the year. We just announced kind of the third leg of Project Recode, operating model simplification. Those have been announced, continuing to drive portfolio mix as we've been doing. So, there's a host of things that I think give us confidence and the ability to actually, sort of navigate the balance between top line growth and margin improvement as we continue to progress through the back half of the year while delivering on both commitments, the 25% margin and double-digit EPS growth. So, I think we're really well-positioned when you think of it that way, gives us a lot of flexibility.
Tom Polen: And just to add to Chris, as good comments is – so Alaris is included in our strategic plan. There's many other levers we have as mentioned. But we have been, as we've shared before, preparing so that when we do get Alaris clearance eventually, that we'll be well-positioned to serve our customers, right? And so, we've talked about that increased inventory levels that we've done on certain components, et cetera. We've talked about the continued investments we have, kept in service in our selling organization so that when clearance eventually comes, that we can both remediate the pumps that are on the market quickly, as well as support additional customers. So, thank you for the question.
Operator: Thank you. Our next question will come from Vijay Kumar with Evercore ISI. Your line is open.
Vijay Kumar: Hey, guys. Congrats on the nice sprint here. My first one is for you. Appreciate all the colors, I think, on pharma, new product cycles, but can you just simplistically outline, what are the categories here that BD is gaining share? It looks like in a pharma, life science, flow cytometry, surgery within hernia, vascular. There's a number of categories. It feels like BD is gaining share. Is that true? And how sustainable is that? And within Life Sciences, any concerns on emerging biopharma funding cycles?
Tom Polen: Yes. Great question, Vijay, and appreciate the comments. So, we'll go around. We've got the segment presence here in the room. I think you're right. What you're seeing is outperforming market growth rates in a number of categories, and we're really pleased with that, driven really through strong innovation, capacity investments that we've made and strong execution. Why don't we start with the Medical segment and Mike can speak to what we're seeing in both Pharm Systems, but also pharmacy automation and medication management overall.
Mike Garrison: Yes. Thanks for the question. There's three sort of growth drivers that we've built in Medical. First, Pharm Systems, as Tom mentioned in the opening comments, 11 straight quarters of double-digit growth. And both the combination of our capacity investments, which we built a few years ago and continue to implement, plus our innovation, really to support the sensitive biologics and the requirements that those – that pipeline has coming towards us. We feel really good about that durable growth continuing. In MMS, we're really happy with the way that the teams have come together in pharmacy automation and our dispensing business. That connected med management and the tie around clinical efficiency both in the hospital as the hospitals start to shift care outside of the hospitals and how that ties into the retail markets, the long-term care markets. This is just a really ripe area for innovation, and we're really well-positioned now with that acquisition. It's going really well. And then in MDS, the Vascular Access Management strategy continues to do really well. Continues to resonate with customers, especially those aspects where it makes both the patient experience and the clinical experience a positive one. And so, we see – we don't necessarily look at it in terms of market position. We don't really comment on that. But we do look at it in terms of our WAMGRs. And we tend – we're showing growth over WAMGR. So, we feel good in that area as well. I'll turn it over to Rick or Dave.
Rick Byrd: Great. So thanks, Mike. Thanks, Vijay, for the question. And Tom, for the opportunity to talk about BDI. So, first off, really pleased with the results in the quarter, 9.3% growth overall with all businesses contributing. And like you said, you pointed out surgery at almost 14%. And so, this strong performance across the segment really reflects the execution of our growth strategy across those key end markets that Chris pointed out, advanced repair and reconstruction, PVD, oncology, incontinence, and our newer innovations in higher growth areas are all really contributing nicely to growth. So, in UCC, we continue to see the growth of the PureWick franchise, aided by the recent launch of PureWick Male. PureWick continues to have really a strong presence in the acute and the alternate care setting for us for chronic incontinence and surgery. Like you said, growth is really driven by continued market adoption of Phasix, our hernia resorbable scaffold. Biosurgery growing double digits, aided by Arista. So, really good there. And then finally, in PI business, we're really – we're seeing improvements across our global supply chain as well as benefits of a lot of the strategic investments that we've made in the past. We have strong global penetration of Rotarex. We're really pleased with the relaunch of Venovo. And then our global expansion strategy is paying off, oncology in China is really strong. So, we feel confident with the overall external market conditions, including the recovery of elective procedures, improving their supply chain. And then you combine that with the success of, again, the strategic investments we've made, whether they be tuck-in M&A or products like as Tom mentioned, Rotarex, Phasix or with our new product launches such as PureWick Male. Team is executing extremely well, and we believe we have the right strategy to drive continued success.
Tom Polen: And maybe just to add to Rick's good comments there. I think something that stands out for particularly the PI business is a number of the investments and new launches that are happening there are in entirely new markets for BD. And so, they're almost exclusively share gains that are happening that are driving growth, right?  So, you think about atherectomy and thrombectomy, that's 100% share gain. I think about the Venclose acquisition that we did and the growth that's coming from that, that's all share gain because we hadn't been in the category. And of course, Venovo stent, we have been off the market. And so, the relaunch of that is regaining – is all regaining market share. And just to more specifically address that question very as well, and maybe, Dave?
Dave Hickey: Yes, for sure. Vijay, it's Dave. Great question. So, again, I mean, just to reiterate for the segment. So, I mean, as you saw in the in the release, just a tremendous strong quarter for BDB at 18.7% and even good core growth in IDS, if you strip away the headwind from the 800 bps of respiratory climb over from same period last year. I'll maybe pick a couple of highlights. I mean, in BDB, we continue to see really strong growth across the board, whether it's the Life Science research reagents, clinical reagents, the demand for the new instruments. Actually, from a Life Science research reagent perspective, so this is the dyes, the Horizon dyes that Tom talked about, that's actually our tenth successive quarter of double-digit growth now. You've heard us talk about BD Max before, which was obviously instrumental in the COVID, sort of pandemic from a respiratory perspective. But how do we now leverage the BD Max for take-up of IVDs and assay utilization and assay penetration? And again, we continue to see really good growth in molecular reagents, eight successive quarters of IVD double-digit growth, which is great. And then maybe on the automation side, we – when you think about the staffing challenges that the labs are facing, we're really starting to see the traction for BD Kiestra, BD COR that Thomas talked about.  If you think – you asked a specific question on the sustainability and the customers relative to BDB. The good thing about BDB and just the breadth of platform and reagents that we have is, we've got a very strong diversity of customer base, so not just by a pharma, for sure biopharma, but academia, large academic medical centers, big research institutions. So, I think the diversity of base really helps us there and the types of research that they're doing, right? So, you think about cell therapy, gene therapy, immuno-oncology, all the stuff in terms of fighting that chronic disease in oncology. So, I think we feel really good about that base. And then from that sustainability, I was just reflecting back as we were getting ready for today, and when you look at the segment overall, even for the first half of this year, we've actually had two PMA supplements approved and eight 510(k)s in the first 6 months of this year. So, that all builds to the momentum as we go forward here. Hope that helps.
Vijay Kumar: Thanks for that comprehensive answer. And just one quick on gross margin. Chris, is a gross margin performance in the [Q], despite 200 basis points of inflation impact, should we think of back half or third quarter being at or above second quarter levels?
Chris DelOrefice: Yes. So, a couple of things. One, if you remember, from a full-year standpoint, we're absorbing over 200 basis points. It's a second consecutive year of inflationary pressures. It was actually more prominent in the first half of the year. It will abate some combination of some moderation of inflation, coupled with, of course, the cost improvement actions and mitigation actions that we're taking in the second half. So, we expected modest improvement in GP through from a full-year standpoint. So, I think you would expect basically similar, to be slightly ahead of our Q3 FY 2022 gross margin, which was 52.6%. So, you'll see slight improvement. And then that will further expand as we move into Q4. But we're right on track. And I think the other thing to point out is, remember, we have about five months of inventory that flows through our sales. So, we have a strong line of sight to basically the inflation that is sitting in that inventory, all the cost improvement that has actually been driven that's part of that inventory cost. And as that sells through in the back half of the year, it gives us strong confidence in our cost base to achieve those goals.
Operator: Thank you. Our next question will come from Matt Miksic with Barclays. Your line is open.
Matt Miksic: Hey good morning. Thanks so much for taking the questions and congrats on a strong quarter here. I wanted to just – I want to go back to the guidance, Chris, if we could, just because there had been some changes. And I know, Robbie touched on this earlier. But maybe just to clarify a bit further on the bottom line just because a sensitivity around beats and raises this quarter is so significant, it seems.  So, if I remember correctly, last quarter, a significant part of the raise was, sort of an FX tailwind. There was also the lower COVID – higher margin COVID headwind as well. But sort of a big part of that lift, offsetting that was an FX tailwind. In this quarter, you've actually got another [indiscernible] FX headwinds that you're absorbing. Is that the right way to think about, sort of the relative puts and takes last quarter or this quarter?
Chris DelOrefice: Yes, that's correct. Just one comment on FX, which is interesting, right. Our fiscal period starts earlier. We actually – our original guide started at the peak of the strength of the U.S. dollar, right? So, we had significant FX pressure when we gave our initial guide. And to your point, in Q1 the dollar weakened a bit. We adjusted up similar to most companies reporting sort of their first fiscal year. And so, we reversed a lot of that unfavorability in the quarter, gave that back. The base was strong, the base EPS actually expanded, and to your point, offset – we had a takedown in our COVID-only testing in Q1. This quarter is a little bit different. Again, you had strong base EPS. We actually raised by $0.115. It was offset by two things. Again, another $0.05 on the COVID-only testing dynamics, taking that down a bit to how we see the full year given that those dynamics and market has softened significantly, and then a little bit of FX pressure for the reasons I noted previously. So, net of those two items, it's [$0.015] [ph], but I will go back to just what I shared. So again, when you look at our base business, absorbing all the COVID-only year-over-year testing impacts, our base EPS is growing almost 15%, and that's while absorbing over 200 basis points of inflationary pressures. I think it's somewhat unprecedented performance in this environment. We're delivering really strong growth. And we want to make sure that we're maintaining investments to also continue this type of performance well into the future. So, that's how to think of it. Hopefully, that helps.
Tom Polen: I think just to add to Chris' comment, obviously, the update here has COVID essentially out for the balance of the year, right? So, the number that we have now in COVID guidance is basically the COVID number that we have year-to-date.
Chris DelOrefice: The other, just given those FX dynamics, right, when FX improved, we only had three quarters to go, right? So when we cycle into our fiscal Q1, which is calendar Q4, there will actually be FX tailwind based on where spot rates are today. There's a lot of moving parts to calculate that directly. But on top line, it could be $75 million to $100 million. So, when you look at other people's guide that has a full true calendar year, that's included. We picked that up next year in ours.
Matt Miksic: Got it. That's super helpful. And the slides are also really helpful material to, sort of walk through this stuff. The other – again, on guidance on the top line. So, you did make a change, as you pointed out, you're expecting a heavier contribution, positive contribution from your inorganic adds, if you will specifically. And so, I know that last quarter, I don't want to say controversy, but there was this question of you have inorganic adds and you have a portfolio exits, which are basically discontinued products not sold to another company, but coming out of the – coming out of your revenue build.  And the way I think you were describing it was those things are, kind of offsetting each – not exactly organic, but we're thinking about it organically. And I would agree with that. Now, you sort of shifted back to more traditional organic description, but you're still sitting those 100 basis points of portfolio exits. So, even though it's $5.25 to $6.25, it is – it seems to be a little bit stronger on the base business on the organic side. Is that a fair way to read the strength on the top line?
Chris DelOrefice: Yes, yes, exactly. The simple way to think of it is, so our all-in guide that includes the negative impact of portfolio exits and the positive impact of organic is [675] [ph] at the midpoint, right? But even if you strip out just the M&A contribution, we're still at 5.5 at the midpoint. Now, that's not taking any credit for the strategic portfolio exits. That was purely just to make sure you guys had context to – we were taking that bold action, it's helping improve margin given the strong growth profile we have. So, when you think of pure underlying against all the businesses we're investing in, if you want to adjust for that, that's about a point that would take it back up to that same range. But even if you get zero credit for that, our organic growth is 5.5%. And more importantly, our two-year, right, coming off a really strong year, we're 7% organic. None of those numbers give us a positive adjustment for those one-time strategic portfolio exits.
Tom Polen: And I think we're seeing the benefits. Obviously, given the strength of the business, taking those actions on that portfolio is exactly the – it's the right time to be doing that. As a reminder, those products that we're just exiting have less than half of the average GP of the company. They're growing much less than the average of the company and are in areas that are just not strategic in terms of relevant growth platforms as we go forward. And so, they also come with operational efficiency benefits, organizational efficiency benefits, et cetera. And so, they're just going to make us that much stronger as we go forward and make sure that we're focusing our resources and investments in those areas that move the needle the most for customers and for us.
Chris DelOrefice: Yes. And the other – just one last comment. You mentioned Parata and the strength there. This is a little unique, right? You get the sort of onetime adjustment for what you acquired. This is a great example of us just strong execution in revenue synergies and taking up that forecast. So, again, I think it's just illustrative of how we're managing, kind of tuck-in and the benefits we're generating from that. As we anniversary Parata, the contribution from all the tuck-in acquisitions we will do on an organic basis, it will add about 50 basis points of growth to our portfolio as we exit this year.
Operator: Thank you. Our next question will come from Joanne Wuensch with Citi. Your line is open.
Chris DelOrefice: Good morning and thank you for taking the question.
Joanne Wuensch: Good morning and thank you for the taking the questions. A couple of miscellaneous things all at once. What was the impact of price in the quarter? If you stop planned exits, does that mean your organic revenue growth rate goes up 100 basis points? And is there a plan to stop planned exits? And then bigger picture, there were a lot of BD Veritor’s and BD MAX’s, et cetera, placed or sold during the pandemic for testing? What happens to all of those now? And how do you increase utilization on them for other things? Thank you.
Tom Polen: Okay. Great question. Why don't we start on the first two with Chris and then Dave can take for the Veritor, MAX.
Chris DelOrefice: Yes. So, pricing, Joanne, so the Q will come out this evening and we – aftermarket. And pricing will be disclosed in there as we consistently have. What we've shared is it's the last thing we think about, right, as it relates to inflation mitigation. And so, what we're really focused on is driving cost improvement, portfolio mix, the strength of growth and volume leverage. All of those dynamics are significant contributors to mitigating the 200 basis point inflation. You'll probably see something consistent in terms of what we've done last year. If you think of how last year played out, it accelerated through the year. But you'll be able to see that at the end of the day. In terms of portfolio, I mean, the simple answer to the question is, these were onetime in nature. There's always smaller adjustments you make in your portfolio, but we made a decision to really take a deep look at our portfolio this year, as Tom described. These weren't strategic products. There's market alternatives. The GP profile is significantly reduced. Removing these freeze up capacity and other costs. All of those products, not being sure they still require quality support, regulatory support, there's a lot of tie up as it relates to shipping and thinking of other infrastructure support. So, there's benefit beyond just the GP lift you get. But to answer your question simply, yes, if we stopped doing that, our results would have been better by roughly 100 basis points this year. This quarter was a little light. It was closer to 50 basis points in the quarter. But from a full-year, we're still estimating about 100 basis points. We do view these as one-time in nature this year. We don't anticipate doing that in the future beyond smaller things that we would just absorb and not even talk about.
Tom Polen: Yes. And obviously, we continue to focus on delivering on our 5.5% plus, but as Chris said, we do not have plans to do that again. These are very discrete products. We've given some examples before things like [indiscernible] or washing instruments for orthopedic procedures that, again, we just don't have a relevant role in those spaces and so we've exited those revenues. And we would not see that repeating in the future. Just one thing as you see price after the close of the market today, just to reinforce a comment that Chris made in the opening comments is that we did see very strong volume this quarter as we think about price and volume and the role of those two together. As we look at volume, we look at it organic volume, and then we take out flu-COVID sales as well, right? Because that's something that's not really indicative of, kind of our ongoing business. And when you look at that organic volume growth, excluding COVID-flu, it's strong mid-single digits, nearly 6% overall volume in the quarter. And so, that's something you'll also see as those further reports come out, something very positive that we're continuing to see across the business. When it comes to Veritor and MAXs, I know Dave had made some earlier comments about the very strong double-digit growth that we continue to see in MAX reagent absorption. But why don't you share some more color on that?
Dave Hickey: Yes, Joanne, thanks for the question. And you're right. I mean, through the pandemic, obviously, Veritor and BD MAX installed base did increase. We've not given specifics around exactly what those numbers are. We're very pleased. We continue to ship those platforms today. And if I break it down, so for Veritor right now, a lot of our focus is actually on converting the emergency authorizations that we got for COVID and our combination assays to 510(k). And obviously, once that is done, that would leave the Veritor, if you like, with approved assays for flu A, flu B, COVID, RSV, Strep A, which will really create a really nice anchor point of care clearway platform for infectious disease testing. So that is our focus there. For BD MAX, one of the big benefits of that platform that labs sees an attribute is its complete sample-to-answer automation and integration within a two to three hour window from sample to result. We placed many MAXs during the pandemic just for COVID and combination testing. And then when you think about the rest of the menu, we're now starting to drive adoption of our regular IVD assays. So, there are really two strategies. One is to increase assay utilization and assay penetration of our regular IVDs onto that BD MAX installed base and where we got emergency use authorization on BD MAX during the pandemic, like our quad assay for BD MAX, moving those EUAs to 510(k) as well. And [it's that] [ph] IVD traction and momentum that you've seen us sort of perform eight quarters double-digit growth.
Chris DelOrefice: Thank you for the question, Joanne.
Operator: Thank you. Our last question will come from Rick Wise with Stifel. Your line is open. 
Chris DelOrefice: Good morning, Rick.
Rick Wise: Hey, Tom. Hi, Chris. Listen, I'm just listening to everything you're saying today, and I keep hearing you both say in many different ways that – and Chris said it, you're well on track to hit your fiscal 2025 long-term targets. Gosh, I accept it. I believe. I think this quarter supports that notion. So, my question is, is it right for us to believe, and I feel like everything you're saying today is suggesting it, that you're now approaching sustainably perhaps a 6% plus top line territory? Is it right for us – again, I accept that you're going to hit the 25 and 25 on the operating margin. My question on operating margin is more, how are you getting ready, Tom, it's a crazy question, for the next target, which I think it's going to be 30%? I don't know if it's – if that's going to take another 5 years. But is that conceptually the wrong way to think about what you're trying to do, where Becton is going? And maybe just as part of that, you're role in your – just your latest thoughts on the role that tuck-in M&A is going to play? You're doing all these great things internally. What role is tuck-in M&A going to play in this journey? Thank you.
Tom Polen: Thanks for the question, Rick, and it's a good question. We're focused obviously on continuing to execute our strategy, and we are very pleased with our progress, both on our portfolio and the reshaping that we've been doing. Of course, that includes an – and Embecta spin just not that long ago as well, which we're pleased with how that's turned out and is allowing each organization to focus. As we look ahead, I'll just go back to the growth platforms that we've been systematically building and are continuing to gain momentum in, right? We talked about areas like Pharm Systems, like pharmacy automation, like BDB flow cytometry, innovation super cycle, like our Interventional Solutions, our Medication Delivery Solutions and our continued innovation focus, our continued outperforming of WAMGR and how we've been supplementing that with strong tuck-in M&A that, as Chris mentioned, as Parata anniversaries this summer, we'll be contributing 50 basis points of underlying growth. We continue to have a very strong funnel, we continue to be exclusively on tuck-in. M&A has been part of our strategy. And obviously, we've been very focused. Mike and team have been heads down executing the integration of Parata exceptionally well. To see revenue synergies this early in the game is quite unique. And just as a reminder, that was accretive to our operating margins right from the start, and they're getting expense synergies going now as well, too, right, which only improves that dynamic. So, we're really happy with how we've been executing tuck-in M&A, the capabilities that we've – and track record that we've developed there, which gives us the right to continue to make that an important part of our strategy as we go forward. And I think we've talked about in the past, this is really a new lever for BD, right? We're a 125-year-old company. And tuck-in M&A had not been a systematic part of our strategy historically. Obviously, back in 2015, you saw the beginning of two large transformational M&A deals. We obviously did not do tuck-in M&A during that period of time as all the cash was going to pay down debt. And so, this era where we've done quite a number over the last three years, how you're seeing those build systematically stronger business profiles and growth platforms and how we're going to continue with our focus on cash and profitability to drive that going forward is a new part of our equation that's complemented by our strong organic innovation. One thing we didn't mention on this call is – although we've been talking about historically is that when it comes to innovation, we've made really strong progress in improving our on-time launches and our on-time milestone delivery, getting into the top quartile. And we had exited FY 2022 with our best ever performance. We're beating FY 2022 again in the first half of this year, right? So, we're hitting new records and on-time milestone delivery and on-time launches. And so, we're getting that productivity out of our organic investments as well, which is really positive as we look ahead. When it comes to margin, and Chris can jump in further to this, yes, we feel confident in our 25% margin by 2025, and we've talked about that. It could be opportunity to exceed that, and we would make decisions on do we let that flow through or do we further invest that? I think our first priority will continue to be making sure that we invest in strong growth. We have a lot of exciting opportunities and markets that we participate in. We've described a number of them the day on the call and have been discussing them for some time. We're going to continue to invest behind that, creating a durable growth organization that's supporting, transforming the future of health care in the areas that we've consistently talked about around smart connected care, around enabling the shift, the new care settings and around improving outcomes for patients with chronic disease. And so that's our focus. Let's get to 25% margin first, and then we can look at optionalities from there. Chris, any other?
Chris DelOrefice: Yes. Just maybe a few small adds. I mean, one, look, I do think the value proposition that BD offers is unique. And we're not changing in our commitments. We talked about 5.5 plus, but to your point, what's been clear, right, our two-year growth, 7% organic. We're clearly in the plus side of the equation. I think for all the reasons Tom noted, we have a portfolio that has the ability that we want to continue to try and drive the plus. But our commitment is 5.5%. I think the nice thing about that is that is maybe underappreciated. There's very few companies in med tech that can deliver that outsized growth, but still have this nice durable profile. It's very de-risked. So, you get this benefit of strong mid-single digits, it's extremely reliable, while we're posting outsized growth and improving margin in a very complex environment and haven't even fully capitalized maybe on some of the levers Tom talked about, like the firepower we'll have with tuck-in M&A going forward, or margin, really, I'll go back to – we're committed to double-digit earnings growth, which isn't easy to do. Obviously, we can moderate that depending on the growth profile, what we want to make sure we do is, consistently invest in the right areas to drive that growth, right? We continue to increase R&D, et cetera. So, all those factors would be sort of contemplated, but certainly confident in double-digit EPS growth, being able to consistently do that. So, I think it's a nice balance of you're seeing an inflection in growth and really strong growth that's differentiated. You're seeing differentiation and execution and you have a de-risked portfolio. It's hard to find all those pieces. It should make people feel good.
Rick Wise: Thanks to you both.
Chris DelOrefice: Thanks for the question, Rick.
Operator: Thank you. There are no further questions. This does conclude this audio webcast. On behalf of BD, thank you for joining today. Please disconnect your lines at this time, and have a wonderful day.